Operator: Good afternoon.
Operator: My name is Tamia, and I will be your conference operator today. At this time, I would like to welcome everyone to Nextdoor Holdings, Inc.'s fourth quarter and full year 2025 earnings conference. To prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. You would like to withdraw your question, please press the pound key. Thank you. You may now begin your conference. Thank you, operator.
Nirav N. Tolia: I am Nirav Tolia, Nextdoor cofounder and CEO, and I would like to welcome everyone to our fourth quarter and full year 2025 earnings conference call and webcast. Joining me today is Indrajit Panambalam, our chief financial officer. I would like to extend a big welcome to Indrajit who joined us in December. We are thrilled to have him as part of the Nextdoor executive team. Now let us start today’s call with our standard disclaimers. During this call, we may make statements related to our business that are forward-looking statements under federal securities laws. These statements are not guarantees of future performance, are subject to a variety of risks and uncertainties. Our actual results could differ materially from expectations reflected in any forward-looking statements. For a discussion of the material risks and other important factors that could affect our results, please refer to our SEC filings available on the SEC’s website and in the investor relations section of our website, as well as the risks and other important factors discussed in today’s earnings release. Additionally, non-GAAP financial measures will be discussed on today’s conference call. A reconciliation of these measures to their most directly comparable GAAP financial measures can be found in the Q4 2025 Nextdoor investor update released today.
Operator: Alright. Let us get started.
Nirav N. Tolia: This quarter, we know we are speaking to a broader audience than usual, including many retail investors joining us for the very first time. I would like to start with absolute clarity about how we think about Nextdoor, how we have approached this turnaround, and why we remain confident in the long-term opportunity in front of us. Let us begin with our foundation. Nextdoor is not a traditional social app. It is a trust-based local network built on a verified address-based neighborhood graph that connects real people to real places. That graph grounded in identity and location is our core asset. It is what differentiates Nextdoor, and it becomes more valuable in a world where digital experiences are increasingly shaped by AI. The asset has always been unique, what has changed is how we are unlocking its value. Over the past two years, we have reworked the product experience to elevate the most relevant decision-oriented content. The recommendations, services, alerts, local news, and information that people rely on when something in their real world requires action. Unlike many social platforms, our value is not measured by passive scrolling. It shows up when intent is high and decisions are being made. Our strategy is to combine the strength of our trusted community with AI, to surface the right local information at the right moment, increasing utility for neighbors and economic value for both local businesses and Nextdoor. We have paired this strategy with disciplined execution and a clear founder’s mentality, one that prioritizes long-term network health over short-term optics, capital efficiency over growth at any cost, and durable unit economics over temporary wins. With that context, Q4 was an important quarter. It reflected progress not only in our product and operating performance, but in demonstrating that this strategy is gaining traction. Turning to performance, while we still have significant work ahead, Q4 was our strongest quarter ever in terms of financial metrics. Revenue grew 7% year over year, and we delivered positive adjusted EBITDA with continued margin expansion. That progress reflects improved execution, disciplined cost management, and strengthening performance across our monetization platform. Comparing full year results, we have repositioned the company from an adjusted EBITDA loss of over $70,000,000 two years ago to positive adjusted EBITDA in 2025. We expect 2026 will build on this momentum. And this is a result of structural changes in how we operate, not short-term optimization. On the user side, we continue to be focused on leading indicators. Platform WAU will not inflect overnight nor does it need to for this model to improve. What matters most at this stage is engagement quality and intent. Our net promoter score improved steadily throughout 2025, and we are seeing encouraging increases in engagement frequency. Neighbors are returning more often for high-value use cases, which reinforces the durability of the network. And on the advertiser side, continue to invest in our proprietary ad stack, are seeing measurable gains particularly in self-serve. Our AI-driven tools have reduced friction in campaign creation, improved reporting transparency, and strengthened optimization performance. Advertiser retention remains solid, outcomes are improving, and these gains are being driven by better ad performance, not by increasing ad load. Overall, I will reiterate that Q4 reinforced that the strategy outlined earlier is translating into real material progress. I will now turn the call over to Indrajit to review the quarter in greater detail and discuss our outlook.
Indrajit Panambalam: Thanks, Nirav. And hello to everyone joining us today. I am excited to join Nextdoor at such an important time for the company. I have been impressed by the strength of the team, the opportunity ahead of us, and I look forward to partnering with my colleagues to drive sustainable growth and long-term shareholder value. Now let us jump into the results. Q4 platform weekly active users, or WAU, which measures users engaging directly on the Nextdoor app or website, was 21,000,000, a 3% sequential decline, roughly in line with our expectations. This reflects our ongoing effort to prioritize engagement quality over volume. Specifically, our users have told us to get smarter on notifications. So we are working on those improvements with the goal of maximizing long
Indrajit Panambalam: term user value as notifications improve. As a result, we expect platform WAU will continue to fluctuate in the near term, which is an intentional trade-off as we focus on relevance, retention, and overall improved user experience. Now let us turn to revenue. Q4 revenue was $69,000,000, up 7% year over year. This was our highest ever quarterly revenue, reflecting continued strong self-serve advertiser demand, improved sales productivity, and better yields driven by product improvements. We saw year over year growth in both customer count and average customer spend, while ARPU increased 13% year over year, all without an increase in ad load. Advertisers benefited from higher click-through rates while we grew our active customer base and associated net new advertiser spend. In short, our ad stack investments are delivering measurable improvements. We are seeing positive effects in our self-serve platform, including incremental advertiser spend, improving advertiser mix and retention, and better operating efficiency from a more streamlined sales model. As we continue to roll out new ad formats and apply AI to optimization and creative workflows, our focus remains on steadily improving monetization and advertiser outcomes over time. Our self-serve platform lets businesses of any size quickly create and run their own ads on Nextdoor. By removing friction for advertisers, we have created an efficient path for businesses to leverage our neighborhood data and AI to reach verified household decision makers and measure results clearly. Our self-serve channel was again a core growth driver, and remains a key component of our monetization strategy. Q4 self-serve revenue grew 32% year over year, and comprised roughly 60% of total revenue. Now let us move to profitability. Q4 GAAP net loss was $4,000,000, or negative 6% margin, representing 13 points of year over year improvement. Q4 adjusted EBITDA was $8,000,000, an 11% margin, representing six points of year over year improvement driven by revenue scale and continued broad-based operating expense leverage. Like revenue, Q4 was the strongest adjusted EBITDA quarter in our history. Our strong Q4 results allowed us to achieve positive adjusted for the full year 2025, twelve months ahead of schedule, reflecting our continued focus on efficiency and productivity. Revenue per employee increased which is another good proof point 26% year over year in Q4. of our revenue growth and the operating leverage we drove through 2025. At quarter end, we had $405,000,000 in cash, cash equivalents, and marketable securities, and zero debt. In Q4, we repurchased 2,500,000 shares at an average price of $1.77. Looking ahead, we continue to prioritize operational investments that we feel will drive long-term value for the platform. Now let us turn to our financial outlook. We expect Q1 revenue of $57,000,000 to $59,000,000, representing 7% year over year growth at the midpoint of the range, and adjusted EBITDA of negative $6,000,000 to negative $4,000,000, representing negative 9% adjusted EBITDA margin at the midpoint. Here are some factors to consider related to our Q1 outlook.
Nirav N. Tolia: First,
Indrajit Panambalam: our Q1 guidance reflects normal revenue seasonality, where Q1 is typically our softest quarter of the year. Second, we remain focused on optimizing the core user experience and driving quality engagement. So we are intentionally limiting our new user acquisition efforts and do not plan to increase ad load in Q1 2026. Given the multi-quarter nature of our product initiatives, and their impact on usage patterns, believe quarterly guidance is the most appropriate way to communicate our near-term outlook. That said, we are encouraged by our operating progress in 2025. For full year 2026, we expect to see continued revenue growth. We also expect to see adjusted EBITDA margins in the mid-single digit range. With that, I will turn it back over to Nirav. Thank you, Indrajit. You made a strong impact in a short period of time.
Nirav N. Tolia: The discipline, perspective, and cross-functional leadership you are bringing are raising the bar across the company, and I am excited about the role you will play in our next chapter. We are fortunate to have you on the team. Before we move to Q&A, I would like to wrap up our prepared remarks by specifically articulating our investment thesis, which rests on five pillars.
Operator: First,
Indrajit Panambalam: our core asset,
Nirav N. Tolia: the neighborhood graph. Nextdoor is built on a verified address-based neighborhood graph covering 350,000 neighborhoods and more than 105,000,000 verified neighbors, roughly one in three U.S. households. Because identity and location are verified, neighbors come to Nextdoor for you utility, not passive scrolling. We have built a trust-based graph that is differentiated and difficult to replicate. Second, intent-driven engagement. Our platform centers on real-world decisions, finding a service, responding to an alert, getting a recommendation, the value of the network appears when intent is high. We are not optimizing for entertainment and scrolling. Are optimizing for relevance and action.
Operator: Third,
Nirav N. Tolia: multiple monetization pathways. High intent creates commercial opportunity. We see substantial room to close the gap between user intent and monetization through contextual native advertising and lead generation. All that connects local demand with local supply. Is particularly compelling with small and medium-sized businesses, a fragmented market with lower digital penetration and clear ROI expectations. Importantly, improving monetization does not require a step change in user growth. It simply requires better matching of intent and outcomes. Fourth, a validated business model. We are demonstrating that this model works. We are capturing a differentiated high-intent audience, we have multiple monetization formats, and advertiser retention and ROI are improving. Revenue per employee is expanding, and as Innerge had outlined, operating leverage is emerging in our financial results. These are early but concrete signs of validation.
Operator: Fifth and finally, a founder’s mentality.
Nirav N. Tolia: Turnarounds require a precise understanding of the core asset, and disciplined execution around it. A founder’s mentality brings both. This translates into an approach that prioritizes long-term thinking, disciplined capital allocation, and an uncompromising focus on network health. It means resisting short-term monetization tactics that erode trust. It means making decisions that strengthen the platform over years, not quarters. That founder’s mentality underpins how we are executing this turnaround, and how we are investing for durable growth. It also shapes how we approach AI, which we strongly believe will drive a material transformation not just for our company, for our entire industry. We are not pursuing AI as a feature cycle. We are applying it to a proprietary asset built over more than fifteen years, a verified address-based neighborhood graph that generates content and context that does not exist anywhere else. The value of AI here is not a generic capability. It is based on the uniqueness of our data and the community engine that produces it. By combining our hyper-local, real identity graph with AI, can enhance relevance, improve advertiser performance, increase efficiency, and most importantly, deepen our competitive moat. As such, AI does not compromise our thesis. It strengthens all parts of it. The opportunity in front of Nextdoor has not changed. Has changed is the rigor and discipline with which we are executing. When viewed through the right lens, one centered on trust, intent, and durable economics, Nextdoor represents a differentiated platform with a path to sustainable long-term growth that we believe remains underappreciated. And with that, happy to take your questions. But before we begin Q&A, let me briefly outline how we will structure it. We will start with questions from our covering analysts. After that, Indrajit will share some of the most common questions we received from individual investors over the past few weeks. We appreciate the engagement and look forward to the discussion. With that, operator, let us open the line for questions.
Operator: Thank you. We will now begin the question and answer session.
Operator: If you would like to ask a question, please press star followed by one on your telephone keypad. If for any reason at all you would like to remove that question, please press star followed by two. Again, to ask a question, please press star one. The first question comes from Jamesmichael Sherman-Lewis with Citi. You may proceed.
Nirav N. Tolia: Hey. Good afternoon, Nirav and Indrajit. Thank you for taking my questions. It is two here, if I may. First, encouraging to hear frequency and engagement quality are improvement improving. Can you add more color on the specific product changes that are resonating most of users? As we look at the new UI, recommendations and notification changes, etcetera? And are you seeing any delta in usage trends from existing versus newer user cohorts? And then I have a follow-up. Great. Well, James Michael, it is good to hear from you. And I will just give you the color on what we are seeing that working. I would say, in general, we are slowly but surely converting our product to something that feels much more utility centric and is driven by intent. And so the things that are driving deeper engagement are whether they are big things like a greater focus on recommendations and local news and other things that give you the information you need to make decisions, or whether they are smaller things that are at the ecosystem level like more relevant notifications, using AI to better personalize the feed, it is a series of different things that we need to do because the end of the day, the product experience is not just one feature. It is a set of lots of different features, and we have to make all of them better. And if we do, we start to see compounding. I think we are starting to see the very beginnings of that and we are excited about it. Were gonna ask me to follow-up question.
Operator: Yeah.
Nirav N. Tolia: Follow-up here. As we think about the advertiser base and self serve segment, could you revisit, you know, any budget trends by vertical or advertiser size? And and specifically, any update on spending patterns from larger advertisers? Thank you very much. Okay. Thanks for the question. You know, we did have the strongest revenue quarter in our history. And so I would say across the board, we saw strength from advertiser demand. And we continue to use AI to generate better outcomes for those advertisers. I will let Indrajit chime in a little bit on a few of the specifics, but I think it was really better demand and better performance across the board.
Indrajit Panambalam: Thanks, Nir. Yeah. I would echo what you said. It was pretty broad based to what we saw in Q4, which is obviously very strong quarter for us. There were no particular verticals that stood out as significantly sort of outperforming the others. And as I mentioned in my remarks, we are seeing good trends on number of ad advertisers, net new ad revenue. So we feel like those are headed in the right direction. Excellent. Thank you, Moe.
Operator: Thank you.
Operator: As a quick reminder, if you would like to ask a question, please press 1 on your telephone keypad. Next comes from Jason Michael Kreyer with Craig-Hallum. You may proceed.
Indrajit Panambalam: Thank you, guys. Appreciate it.
Nirav N. Tolia: Wanna build on the last question. Any updates on building out a programmatic ad stack for for the large It has been kind of a year since we talked about, you know, more volatility in that category. I think last quarter, you kinda said, know, you were stabilizing things with SSPs and DSPs. So curious where that is at and if if you think that can drive more growth throughout 2026. Just as you get that stack fully implemented.
Operator: Sure. So
Nirav N. Tolia: you know, we need to continue investing in programmatic formats and the programmatic ad stack in general. Because that is what large advertisers are seeking. What you heard a year ago is that there were large advertisers who said that they would not consider us until we started to roll out those improvements to the platform, and we have done that. And so as we have done that, we have seen greater demand. As we continue to invest in that, we should see greater demand as well. But it is it is a it is a part of the whole. I would not call it out as a particular focus of ours. It is something that we need to do to be competitive. And so we will continue to do it. And we do expect demand to go up as a result, but it is not something that I would point to as some specific opportunity that we think outsized that we are going after aggressively.
Operator: And, Neera, if I could just add, I think what we have seen over the last
Indrajit Panambalam: twelve months since we first introduced programmatic is really strong in improving performance on our on our direct sales ourselves. We are seeing strong demand from advertisers there, which we are able to monetize quite well. So I think program programmatic has been a great supplement to that. But we are also encouraged by our own our own performance too.
Nirav N. Tolia: Great update. Thank you. And then just maybe another one in terms of the evolution of recommendations. I know that you have kinda tweaked that kinda go to market or the rollout of of recommendations over the last couple of quarters. What what is in store for 2026? How broad is that rollout now, and how much does that change in the next few months? It is a great question. And I would say that in 2026, recommendations and in general making it possible to easily find the absolute best small businesses in your neighborhood, is a major priority for us. And so whether that means ensuring that when neighbors ask questions, they are answered more quickly, whether that means using the power of AI to summarize old conversations or new so that you can get multiple recommendations in one fell swoop.
Operator: Or
Nirav N. Tolia: if it means bringing those great SMBs on the platform so they can respond directly to neighbors so that it is a closed loop kind of experience, those are all things that we are focused on in 2026. We think this is one of the really unique advantages that Nextdoor has. We are a place where you come to get real recommendations from your neighbors. It is not bots that are creating the recommendations. It is not star ratings. It is neighbors that are willing to vouch for the small businesses that they believe in. And this is a value proposition that we need to get much better and much more forward in front of our consumers because there is nothing like it across the web. Wonderful. Cannot wait to see it. Thanks, guys.
Operator: Thank you. The next question comes from Ryan James Powell with B. Riley Securities. You may proceed.
Indrajit Panambalam: Great. Hi. Thank you for taking our question. This is Ryan Powell on for Naveen. So first,
Ryan James Powell: we appreciate the color in the prepared remarks, but we are wondering a little more on much more work needs to be done on moderating the notifications and emails. And whether the current frequency is about what you expect long term? And then I have a follow-up.
Nirav N. Tolia: Okay. Thank you for the question. I think that we will never stop working to make the notifications more relevant. The way that it goes with notifications is that the more relevant they are, the more you can send. The problem with sending irrelevant notifications is it may not show up in the near term, but in the long term, it does. Either through a lower NPS score or even worse when people unsubscribe. And so we have taken a very, very conservative view as it relates to notifications. We have made the difficult decision to focus on the long term, and as a result, we pulled back quite a bit, and, frankly, we will continue to do that if it is the right thing for neighbors. So as we build more relevant notifications, we can be more aggressive with them. And we will. I would say today, we still have a lot of work to do. And we are gonna be much more long-term minded versus feel like we need to pump out as many emails and mobile notifications as possible. Just so we can pump up the metrics. What is really important to us is ensuring that when someone receives a notification, they feel like it is relevant to them. And until we can do that with real regularity, we will continue to be conservative in how many we send out.
Operator: Great. That makes sense. Thank you.
Ryan James Powell: And then second on the phase launch, where are you currently in rollout? And how has it impacted the quality of content in neighborhoods that it is live.
Nirav N. Tolia: Okay. It is a very good question. And faves, is part of that overall ecosystem of recommendations and small businesses. And in general, one of the things that we feel that Nextdoor should be truly great at which is helping you find the best service providers, the best businesses, the best places to spend your money in your neighborhood. I do not think that this year, we will think about this as some large rollout. We are gonna think about it as a series of improvements that are ongoing and iterative. And so at any moment, you may think that it is mildly improved. But if you look back at this over a year, I think you will see some major progress. So versus thinking about this as there was a launch, and then we have got a big release next quarter and then another release the quarter after that. We are thinking about this much more like traditional web development where we should have deadlines and milestones and releases every few weeks. And you should feel like the the product is getting gradually better and better and better and better.
Ryan James Powell: Awesome. Thank you.
Operator: Thank you.
Operator: There are currently no other questions queued. So this is your final reminder that if you would like to ask a question, please press 1. With that being said, I will pass it back over to the team for a Q&A. With the analysts.
Indrajit Panambalam: Great. Thank you, operator. As Nirav mentioned, we are pleased to now answer some of the most popular questions that investors have submitted to us in the last few weeks. So let me start with our first question, which is on AI. What has been the progress of implementing AI features into the app? What are the main bottlenecks to implementing more AI features?
Nirav N. Tolia: Okay. So let me start by saying that we are of the mind that AI is as transformative as anything that is happened in our lifetimes in the technology industry. So we are true believers when it comes to the power and potential of AI. We think that it should ultimately shape us and has shaped us already in three different ways. It should make the company more efficient, it should make the consumer product better, and it should increase advertiser optimization and performance. We have done things in all three of those areas. And much like I described our faves rollout as not one big bang, but rolling thunder that is increasingly just something that is natural something that we look to as part of our normal cadence over time, that is the way that we will continue to implement AI solutions. We do not see AI as some vertical thing that we focus on that is outside of the main set of things that we are doing. We see AI as a powerful technology that needs to be the foundation of everything that we are doing. And so the real opportunity for us is to take our incredible community system, which is uniquely human, and it is verified, and you have actual neighbors that are creating content and combine that with AI, to create content that ends up being higher quality, more relevant, but still uniquely human. And that is a very unique opportunity that we think exists for Nextdoor.
Ryan James Powell: Great.
Indrajit Panambalam: Second question is on platform differentiation. How is Nextdoor truly different from other social media or home or home services apps on the Internet?
Nirav N. Tolia: So I would go back to what I articulated with our investment thesis, and that is point number one. The core asset of Nextdoor is a neighborhood graph. It is a graph of people that have verified identity, and real location. That then enables a trust-based network that is very different than the other social networks. That is difference number one. Difference number two is many of the social platforms today engage in what I would describe as one-to-many communication. There is content on the social network, and then there are consumers of that content. Followers is typically what you call those those consumers. And you have one content creator that is communicating with lots of different followers. On Nextdoor, it is not one-to-many communication. It is many-to-many communication. It is more about community. You post on Nextdoor, and then what is really interesting is the responses that come to your post. And those responses are not just from one person. They are from a number of different people, and they are all your neighbors. And so it creates a completely different dynamic because it is not about the one big content creator, and then you are responding to that content creator but you are not talking to all the other people that are responding to the content creator. Nextdoor is a community centric social network. And increasingly, that is different than the other things that we see across the web.
Operator: Great.
Indrajit Panambalam: Okay. Third question is on vertical specific monetization. Question was, would you consider leaning more heavily into vertical specific use cases like home services and pet services? So Nextdoor has, from the very beginning, been a broad local social network, which means there are a variety of different use cases
Nirav N. Tolia: that may span from simply getting to know your neighbors to understanding what to do this weekend in your neighborhood to asking for help to find a lost pet, to coming together in times of crisis, to, of course, finding recommendations for the best businesses in your neighborhood. Those are a series of very different things. And even within those verticals, like finding the best business in your neighborhood, there are lots of sub-verticals as well. So this is a big challenge for us. It is also an incredible opportunity. In the highest value verticals, and service providers is one of them, we should actually build more vertically specific features and functionality. Whether that ultimately looks in the app like a series of channels, whether there continues to be a single monotonic news feed that then actually branches out when you need it to, those are the things that we will experiment with. But, ultimately, we know that particularly for the highest intent, and the best monetization use cases, we do need to push deeper and build more vertically specific solutions.
Indrajit Panambalam: Okay. Thanks, Nir. Alright. Now on to our last question, which is related to cash management. Couple folks several folks asked, what is your philosophy on the use of your cash? So why do not I take this one? First, as a reminder, we ended 2025 with slightly over $400,000,000 of cash and marketable securities and no debt, which we view as a major strategic asset of ours. Also, as you saw in our results, we reported positive EBITDA and positive cash flow from operating activities for full year 2025 which, we find very encouraging. And look. We do not assume that access to cap capital markets will always be readily available for companies of our size. So preserving liquidity gives us important operating and strategic flexibility. And for us, really, any use of cash, whether for organic investments, external opportunities, or capital return, it must all exceed our return of invest return on investment thresholds. So, really, if we look at it, you know, we continue to regularly evaluate all options for our cash. And we use those objectives, as we evaluate the opportunities before us.
Nirav N. Tolia: Okay. With that, we are gonna wrap up this call. We really appreciate your interest in Nextdoor, and we look forward to continuing to communicate our progress on this turnaround. We are very optimistic about our future, but we know that there is a lot of hard work ahead. Stay tuned.
Indrajit Panambalam: Thank you, operator.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect your line.